Operator: This afternoon, Bohn Crain, Radiant Logistics’ Founder and CEO; and Radiant’s Chief Financial Officer, Todd Macomber, will discuss financial results for the company's Fourth Fiscal Quarter and 12 Months ended June 30, 2021. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements. Such factors include those that have in the past and may in the future be identified in the company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now, I would like to pass the call over to Radiant’s Founder and CEO, Bohn Crain. Sir, the floor is yours.
Bohn Crain: Thank you, operator. Thank you. Good afternoon everyone and thank you for joining in on today's call. We're very pleased to report another quarter of solid financial results for the June quarter, highlighted by record results across key financial metrics. We posted revenues of $257.9 million, down 17.6%, or 6.4%. Excluding COVID related project revenues of $125.5 million realized from air charters in the year ago period, revenues were actually up significantly, increasing $107.9 million, or 71.9%. We also posted net revenues of $62.8 million, up $12 point million, or 25.3%, net income of $11.1 million, up $6.4 million, or 136.2%. Record adjusted net income of $10.1 million, up $1.2 million, or 13.5%, and record adjusted EBIDA of $14 million, up $1 million, or 7.6%. These record results reflect the benefit of our scalable non-asset based business model, diversity of our service offerings and our ability to quickly respond to changing market dynamics. Not only are we seeing solid recovery in our legacy business, but we are winning meaningful new business across the platform in the U.S. and in Canada. Business continues to be robust in locations operated by our strategic operating partners and in our company-owned locations as well. In addition, we've been able to deliver these record results while continuing to maintain very low leverage on our balance sheet. As we previously discussed, we also believe that our current share price is not accurately reflect our intrinsic value or long-term growth prospects, particularly given our unlevered balance sheet, and therefore represents an excellent investment opportunity for both the company and our shareholders. In this regard, we were able to begin, re-engaging in our stock buy-back and repurchased approximately $1.9 million of our stock in the quarter ended June 30. We remain encouraged by our continued strong financial performance. And the fact that we were able to report a record $48.8 million in adjusted EBITDA for the 12 months ended June. With the diversity of our customers, the strength of our balance sheet, scalability of our technology, the commitment of our employees and the continued recovery of the business sectors that were previously impacted by COVID. We remain optimistic about the trajectory of the economy and the opportunities that this will present for Radiant. In the months ahead, we will continue to closely monitor how the economy is progressing and expect to continue to be active in our stock buyback activities and look forward to reactivating our acquisition efforts as the opportunity presents itself. With that, I'll turn it over to Todd, our CFO, to walk us through our detailed financial results and then we'll open it up for some Q&A.
Todd Macomber: Thanks, Bohn and good afternoon everyone. Today, we will be discussing our financial results, including adjusted net income and adjusted EBITDA for the three and 12 months ended June 30, 2021. For the three months ended June 30, 2021, we reported net income attributable to Radiant Logistics of $11,059,000 on $257.9 million of revenues or $0.22 per basic and $0.21 per fully diluted share, which included a gain of $4.6 million on forgiveness of debt. For the three months ended June 30, 2020, we reported net income attributable to Radiant Logistics of $4,665,000 on $275.5 million of revenues or $0.09 per basic and fully diluted share. This represents an increase of approximately $6,394,000 of net income over the comparable prior year period or 137.1%. For adjusted net income, we reported $10,072,000 for the three months ended June 30, 2021. For the three months ended June 30, 2020, we reported adjusted net income of $8,883,000. This represents an increase of approximately $1,189,000 or approximately 13.4%. For adjusted EBITDA, we reported $14,141,000 for the three months ended June 30, 2021, compared to adjusted EBITDA of $13,148,000 for the three months ended June 30, 2020. This represents an increase of approximately $993,000 or approximately 7.6%. Moving along to 12 months, the 12 months ended June 30, 2021, we reported net income attributable to Radiant Logistics of $22,943,000 on $889.1 million of revenues or $0.46 per basic and $0.45 per fully diluted share, which included a $4.4 million charge on change in contingent consideration, which was more than offset by a $6 million gain on forgiveness of debt. For the 12 months ended June 30, 2020, we reported net income attributable to Radiant Logistics of $10,541,000 on $855.2 million of revenues or $0.21 per basic and fully diluted share. This represents an increase of approximately $12,402,000 over the comparable prior year period or 117.7%. Adjusted net income for the 12 months ended June 30, 2021 was $34,380,000. For the 12 months ended June 30, 2020, we reported adjusted net income of $25,632,000. This represents an increase of approximately $8,748,000 or approximately 34.1%. We reported adjusted EBITDA of $48,781,000 for the 12 months ended June 30, 2021, compared to adjusted EBITDA of $38,259,000 for the 12 months ended June 30, 2020. This represents an increase of approximately $10,522,000 or approximately 27.5%. With that, I will turn the call back over to our moderator to facilitate any Q&A from our callers.
Operator: Thank you. The floor is now opened for questions. [Operator Instructions] Our first question comes from Jason Seidl [Cowen]. Please state your questions.
Jason Seidl: Thank you, operator. Hi, Bohn. Hi, Todd. I wanted to talk about a few things. Number one, it seems like you're well positioned to keep throwing off a lot of free cash flow and you think your stock is cheap. Can you put some parameters about how you're going to go about this buyback? Is this going to be opportunistic? And then you're just going to start like really purchasing more like now with it at lower levels? Is this going to be something that you're going to just do consistently?
Bohn Crain: Yes. Thanks. Thanks for the question, Jason. So, as we've stated previously, I think our kind of baseline view is we'll look to take half of our free cash flow and be active in stock buybacks and the other half of our free cash flow and look to do tuck-in acquisitions. So that's kind of the – what I would characterize as the baseline plan of action to the extent meaningful or material M&A came along, that could impact that view. But certainly as a baseline case, we do believe our stock is extraordinarily undervalued, given all we've accomplished over these last several years and represents a very good opportunity for us. So, we'll certainly be putting capital work in that area unless we ultimately are compelled to do something that we view as more strategic.
Jason Seidl: Understood. So – but I imagine given the current multiples out there in the M&A environment, there is probably going to be no material transactions at least in the near future.
Bohn Crain: Only time will tell.
Jason Seidl: That's fair enough. You guys also talked a little bit about some business lines coming back. I was hoping you can give us some color around that. And then maybe you could talk to any potential work that you guys could do with FEMA around some of these disasters that we've seen.
Bohn Crain: Sure. As we all kind of navigated what COVID hit to each of us, personally and professionally, the industry verticals that were the part of is hit and ultimately slowest to recover where retail store fixturing tradeshow and cruise lines. So even in prior quarters, we had seen healthy recoveries at least in the verticals that we were actively participating with the exception of those three laggards for lack of a better term. And with the exception of the cruise line business, we've seen healthy recovery in retail store fixturing and tradeshows were firing back up. So kind of everything is – I think the short version is everything either has or is coming back online with the last to arrive back to the party being the cruise line and that probably – at least for us would probably remain kind of the weakest in terms of activity relative to what we would view as normal. And I'm sorry, what was the second part you had? What was the other part?
Jason Seidl: The second part of that question was you worked a lot in the past with FEMA…
Bohn Crain: Oh, yes. Thank you. Thank you.
Jason Seidl: Some very bad weather and everything and wanted to getting back something in.
Bohn Crain: Yes. Historically, our bigger opportunities with FEMA have come in the international arena. So while we might be somewhat active in some of the kind of contiguous 48 activities, those typically wouldn't kind of register from a financial impact locally. So just as an example, Hurricane Ida, there is not going to be any meaningful one time chunk of business that comes through and response to Ida as an example.
Jason Seidl: Okay. No, that's fair enough. And I guess lastly, when you look at the forwarding side of your business, the supply chain has been extremely tight. If you look into your crystal ball and dust off a bit, how long do you think this supply chain tightness is going to continue?
Bohn Crain: Well, it's really – I'm sure you're getting a lot of similar responses, but from where we sit right now, there's not a lot of end in sight. We had a peak season that started early, hasn't let up. It's really going to be an interesting ride here as we enter what is – what we would typically think of as our more traditional peak season and what that means, because it is – it is nothing short of a firefight out there as everyone is jockeying for capacity to try to service their customers. And so certainly through this peak season and it's – I was just having this conversation the other day. You would at least – and from – in my own experience, when we have these types of environments, you can always count on the asset based guys to reinvest and redeploy assets into the individual trade lanes to kind of begin a reversion back to the norm. But even the asset based guys, because the supply chains are so jacked up, it's hard to build a truck, it's hard to build a ship. So on top of that the drivers, and just so to try to get back to what we all envisioned as a reset to normal, it's just, I think, this is going to be an unusually protracted process because of just how frustrated kind of the global supply chain in its entirety is right now.
Jason Seidl: That's great color. Well, listen, a good quarter. Keep up the good work.
Bohn Crain: Thank you.
Todd Macomber: Thanks.
Operator: Our next question comes from Mark Argento [Lake Street]. Please state your question.
Mark Argento: Hi, Bohn. Hi, Todd. Yes, I just wanted to delve in -- I know you have been just talked about the supply chain still being pretty gunked up, but are there any bright spots? Are you starting to see some areas flow a little bit more? What's been working?
Todd Macomber: Well, I think as our numbers would suggest, it's – I think it's hard to find the spot where it's not working in terms of all of our business groups whether you want to look at it on a geographic basis in U.S. versus Canada or on a modality basis or on a company-owned store versus agent station basis that almost whatever lens you would look through on a comparative basis. We're up. So, it's a challenging environment out there, but this environment has provided a good backdrop for us to bring value to our customers. And it's a lot of hard work for everybody in the marketplace right now. But I think we're – our work is being valued and that's reflected in the numbers.
Mark Argento: Are you seeing a lot of customers [indiscernible] product expedited and just with everything so much tighter, is that a big generators [indiscernible] about all?
Todd Macomber: Yes, certainly, the LA markets is very, very tight and people are stepping up. I mean, there is a lot of surcharges that are going on right now and there's metering. And so, I think certain areas – I mean, certainly Long Beach, I know there is a – just a ton of ships waiting to unload and it's creating a – there is more demand and there is capacity. So people are stepping up where they need to. So that's going to go on for a while. We don't know exactly how long, but certainly people are having to pay a little more to get their freight moving in certain areas.
Mark Argento: Right. Maybe, Bohn, talk – touch on the opportunity to continue with that the Gray Tail phenomenon. I mean, we've been living through a pandemic now. I mean, if you were already had gray hair, you probably do now some of your operators that is, or some of your agents on your platform. What's the appetite thinking on the M&A side bind them in? Or are they all making just so much money right now? It's hard for them to even think about on to part with the business.
Bohn Crain: Yes. Well, the – one thing is for sure none of us are getting any younger, right, myself included, but the – we – our kind of underlying kind of value proposition and brand promise are alive and well. And what I mean by that is we're here to meet our partners where they want to be met. And so for us that means when they're ready, we're ready. So we're – we never have and we're not currently out twisting people's arms to try to compel them to sell. But within their own frame, when they're ready for their exits, we're here to support them in that. And just kind of biologically that – our network of partners is getting older and I think we'll have increasing opportunities over time to make good on that brand promise to support them in their exit strategies. And we're – as we think about capital allocation and capacity and dry powder, we always have in our mind making sure there is the capacity there to support that brand promise in supporting our stations. So I think kind of the fundamentals are there, but at the same time I don't want to leave you with the impression that people are lining up to exit next quarter because that's not the case, but know that kind of the opportunity remains intact. And we're not driving the calendar. We're supporting the agendas of our operating partners.
Mark Argento: Right. And then just lastly, when you think about the multiple, I mean, you guys – I mean you remain tremendous cash flows in the quarter. You're not getting a whole lot of love or respect from The Street from evaluation perspective. I mean does it ever – you ever think about – I mean, I think all the money slots are out on private equity land right now. I mean, there has been a tremendous amount of activity over the years, companies in and around 3PL space. Yes, I mean, at some point in time, do you just go you know what it's – this is for whatever reason in a public company land, isn't good, isn't where we need to be. And look at running the strategic alternatives process or figure out a better way to generate and realize some value because I have to assume as a large shareholder that you must be getting a little bit frustrated at the lack of the valuation true up over the years here, any thoughts.
Bohn Crain: It's obviously a good call out. Certainly, if we were going to consider something like that, we wouldn't be announcing it on this earnings call, but in all seriousness, we're growing long-term value. We think there's a lot – a lot of opportunity to continue to create value. And I will certainly acknowledge, there are some days I'm as frustrated as you can imagine around the varied topics you're raising. But on other days, I view it as an opportunity. And so if the market is not going to reward us fair value, that creates an opportunity for us to effectively buy in our stock and just to kind of make a point, I don't know where else we can buy a $50 million EBITDA business at a – call it a seven or eight times multiple with zero integration risk. So, as we evaluate alternative uses of our capital, that's one of the measuring sticks or one of the considerations that comes into that conversation or that thought process. So we had - we had begun the stock buyback, COVID hit, we pulled in our horns. Then we had the PPP loans, which have now been forgiven. So there has been kind of a natural and albeit unusual chain of events, but we're reengaged now and I would expect we continue to be.
Mark Argento: Great. I appreciate the color. Thanks guys.
Bohn Crain: You bet.
Operator: Okay. Our next question comes from Jeff Kauffman [Vertical Research]. Please state your question.
Jeff Kauffman: Thank you very much. Hi, guys. It's Jeff from Vertical. How are you?
Bohn Crain: Good. How are you?
Jeff Kauffman: Good. So a couple questions. We talked about the comeback that you were seeing on retail on tradeshow and this is all into June 30, post June 30, we've had delta variant really kind of picked back up. And I know I was planning on going to some tradeshows that got canceled and some things got rescheduled. Has Delta had any setback impact as we think about kind of first fiscal quarter of 2022?
Bohn Crain: It may have on the edges, but certainly on a comparative year-over-year period, we're seeing – we're continuing to see positive trends. So I don't think anybody's emotionally prepared for another shutdown, so just my own personal opinion, but I think Delta notwithstanding. I think the world is going to stay open for business and we're going to find our way through it, however unpleasant it might be. And so, there's certainly no denying the realities of the pandemic, but at least my sense is commercially we are and we'll continue to stay open for business and we'll be here supporting our customers and all the challenges that that creates in terms of – so at least my point of view is if not Delta and Mu, which I read about yesterday or – and God knows what – I don't think any of this is going away anytime soon. I think this is going to be unfortunately part of our new normal. And I think supply chains are going to stay challenged for the foreseeable future around all this stuff. And so people are going to have to work harder and be more diligent in managing their supply chains and we have a role to play in that.
Jeff Kauffman: So looking at your business, and I know you were talking about the tightness in LA. I was actually just down there driving up the 710, which is the road from the Port of LA to the highways where a lot of these truckers move out and as just wall to wall trucks, with containers coming out of the port and nothing coming the other way, which I thought was interesting. But when you look at where the company is today in the business, I know you've been strategically acquiring company gateways and things like that. But as you look at kind of what your network looks like, bouncing back from COVID now versus, say, where it was a year ago when all this started, are there parts of the network where you view maybe you need more station capacity or partner capacity? Maybe, I guess, how has the density map within the Radiant system changed as a result of all the craziness in the last 12 months?
Bohn Crain: Yes. In terms of – so when you say density map, I think physical locations of…
Jeff Kauffman: Kind of where business – yes. And I know physical doesn't demand everything, but kind of whether you think about it as an industry expertise or geographic expertise from stuff trying to make its way into the country, has your view of the needs of the network changed at all?
Bohn Crain: No, I think it's been – certainly, capacity is king, right? So whatever you can do to better position yourself to access capacity is important. And there certainly have been shifting sands in terms of carriers and what's happening with carriers out there and kind of the impact of e-commerce on carriers and I think there's going to be kind of – it's in process, I think, kind of a bifurcation of what I'll call a more traditional expedited carrier versus somebody who's trying to organize to support what I'll call the e-commerce play, right, because we've seen some carriers effectively choke on e-commerce business to a point where they can't satisfy kind of the – what I'll call the preponderance of their business because they've been overwhelmed by e-commerce. So there's – so we have to be thoughtful around carrier, carrier capacity. But I'll just kind of take a step back. We kind of think of ourselves as having three platforms for acquisition, our traditional forwarding network, our U.S. brokerage network and our Canadian platform. So we're open for business and looking for good opportunities across each of those platforms. There's lots to be done on the forwarding side. On the U.S. brokerage side, and I think we've talked about before, we do – we're principally an intermodal player and don't have a significant truck brokerage component today. And so if there's one kind of bucket to continue to fill out, truck brokerage would remain an interesting opportunity for us to really build out a more comprehensive bimodal brokerage operation out of Chicago. Those would be some of the areas. But kind of at a very high level of bundling value-added services with our core transportation service offering, there's a lot that can fit kind of within that thematic, whether it's contract logistics or customs brokerage type activities or additional tuck-in acquisitions of agents and competing networks or making good on the brand promise of agents within our existing network. All of these are opportunities immediately in front of us that we'll continue to pursue.
Jeff Kauffman: Bohn, thanks. I know we're at the top of the half hour here, so if I could just squeeze one detail in for Todd. Apologies, Todd, I'm traveling, and I haven't had a chance to see the press release. You identified in your comments some one time or unusual items, both positive and negative, in the quarter. Can I just ask you to outline just for the fiscal quarter what the nuances were, the good guy benefits and the things that were a little unusual that weighed against you?
Todd Macomber: Yes, sure. So for the current quarter, we had five PPP loans. And we had four of them forgiven, the last one was forgiven in the last quarter. And that was about $5 million, is what it was in the current quarter.
Jeff Kauffman: Okay.
Todd Macomber: We had a gain on….
Jeff Kauffman: You mentioned something offset?
Todd Macomber: I am sorry.
Jeff Kauffman: Is there anything offsetting the game? I think you…
Todd Macomber: No, that was on the 12 months. On the 12 months, we had about a $4.4 million charge for change in contingent consideration, which was offset by about $6 million of loan forgiveness. So – yes, so…
Bohn Crain: And just as a quick reminder because it's somewhat counterintuitive, if when we – in purchase accounting land, when we acquire companies, we had to book up an estimated future payment. And if the business outperforms our expectation that we effectively have under accrued, and we need to book up additional liability. So in this case, it's kind of a good news story, which is one of our acquisitions has exceeded our expectations, has done particularly well, caused us to book up that incremental contingent consideration. The other piece, Jeff, was in the face of the press release, which talks about $125 million of COVID related to air charters in the year ago period on top line revenue. So when we back that out, our revenue was actually up 71% for the quarter ex the air charters from the year ago period. So pretty extraordinary top line growth in the quarter.
Jeff Kauffman: Congratulations. And thank you for the clarification.
Bohn Crain: Yes, you bet.
Operator: Our next question comes from Mike Vermut. [Newland Capital Management, LLC] Please state your question.
Mike Vermut: Hey, guys. How are you doing?
Bohn Crain: Hi, Vermut.
Todd Macomber: Doing well.
Mike Vermut: Excellent. Excellent. Can you just go over some of the – yes, there's phenomenal revenue growth. Just I assume a lot of it is existing customers and new business wins and a lot of this seems to be – or should be permanent going forward. Can you just discuss some not in specifics, but I guess, the verticals where these wins occurred and how you've gone about securing them and what's in the pipeline going forward?
Bohn Crain: I'm not sure how granular we want to get on that particular question. But I guess I'll tackle it in the context. Well, I'll approach it in two ways. One, and as we've talked about before, we have a vertical strategy that we've been executing in the past couple of years where we have a number of subject matter experts across a number of key industry verticals, whether that's military or life sciences or automotive as an example. And that strategy has continued to bear fruit in addition – and we've talked about this a little bit before, but I'll spend a little more time on it here. And this goes back to our technology strategy in SAP. So – and just quickly for folks who might not be as intimately familiar we've always been on SAP from an accounting perspective, a few years ago, we had – we concluded we had outgrown our legacy TMS, transportation management system, and made a decision to move to SAP for our TMS so we would have our complete ecosystem on SAP effectively. And we've been working towards that. And it's been a long grind to get there, but we are effectively there and as we expected. There is a huge installed SAP account base out there that use as SAP as their core system and their day-to-day business. And that's creating opportunities for us to begin to engage with some very large accounts and begin to interact with them on an SAP basis and begin to pass information and data to them indigenously in their kind of native SAP environment. And we think that's got – we talked about the long tail or the gray tail, I think this is going to be a long tail. I think this is just an extraordinary long-term game changing type opportunity for us where we can begin to reap the benefits of the investments that we've made in SAP TM over the past several years. And I think that's going to ultimately translate into some meaningful incremental business for us in the quarters ahead.
Mike Vermut: Excellent. Getting back to, I guess, Mark's question and a little bit Jason's, when you look at these acquisition candidates out there, we're – our growth is phenomenal now, our balance sheet pristine, we're trading at – I calculated under 6x EBITDA right now. Landstar went through the same issue 10, 15 years ago where they weren't getting the valuation they deserved and they really accelerated. They dropped the acquisitions and they just accelerated the buybacks. Since then they bought back, they've done a kind of creeping LBO [ph] and they've bought back half of the stock outstanding and they accelerated it. Is that – are there really companies out there – what I'm trying to get at, that have our valuation profile out there? It's hard to believe that there's a quality company like us trading at our valuation with our balance sheet and that we know. So my point being is, is there a point where we say, we're going to buy everything we can at these levels and not hold back until it gets to some normal spot.
Bohn Crain: Those have certainly been some conversations. I don't think we're – well, I guess we wouldn't know till we get there, but my – part of my thought process is, is we would – is that we would have a hard time actually successfully completing a meaningful kind of one time big pop because the market would likely move away from us. So there's a big difference between talking about it and doing it. And I think at least from where I said today, we'll have actually better success in taking stock off of the table for the benefit of our shareholders by chipping away at it. Now – but all of this has to be evaluated within the context of our alternative uses of capital, right, and kind of what M&A pipeline looks like. And I don't believe it has to be binary. It doesn't have to be all stock buyback or all M&A, right? I think we can move forward with a balanced approach and do some of both, which is really the baseline plan. But we're certainly not lined up to do a tender like Covenant did. So – which I don't think they bought a single share through that process.
Mike Vermut: Correct, but they tried. It would have been great. And then my point being is that this is a rare opportunity, right? We're earning – our net income right now is four or 5x what it was four years ago, and our stock is basically in the same spot. So I'm saying, I look at it, as you said before, this is a rare opportunity for us, where the Street doesn't see it yet, and there's – it's a time where you can make a meaningful change in the capital structure, a permanent change that will forever change our earnings going forward. So it's just something to think about, and it's surprising that we're here when you delivered such phenomenal results. I think it's – our balance sheet's phenomenal. Our earnings are phenomenal. Our revenues are great. The company is a different company than it was four years ago, and we're pretty much in the same spot. So it's – I look at it, it's an opportunity for us. So I'll leave it with that yes.
Bohn Crain: As do I.
Mike Vermut: Exactly. And I, yes…
Bohn Crain: The – one of the big intangibles at the end of the day around all of this is financial flexibility, right, in terms of that – I'm – just to be clear, I'm not disagreeing with stock buybacks. I'm a big advocate of stock buybacks. We've done them over the history of the company. We've – we did some of this last quarter that we just reported them. So I think all we're talking about is timing and magnitude. And so we'll – yes, I'm not ruling it out. But at the same time, we certainly wouldn't commit to it on the call.
Mike Vermut: And hats off to the success that you've had here. And one last thing I will say, this is just while we have the audience that if the analysts are listening out there, there's one or two that are – have had numbers that are so far beyond the realm of reasonable and as opposed to have an outlier way away, it would be nice if they to look at it and kind of got their modeling…
Bohn Crain: Don't be beating up on our analysts on this call, Mike.
Mike Vermut: There's one that's very hard to get through to that would be nice if they don't skew it that much, but I'll leave it at that. Anyway, great job, Bohn. It's phenomenal what this company has done over the past couple of years.
Bohn Crain: All right. Well, I appreciate your support.
Mike Vermut: Yep. Thank you.
Operator: That was our final question. I'll turn it back over to you, Bohn, for closing remarks.
Bohn Crain: Thank you. Let me close by saying that we remain very excited with our progress and prospects here at Radiant, and we remain very bullish on the growth platform that we've created and the scalability of our nonasset-based business model. Our now more than 10-year first-to-market advantage in executing our multi-brand strategy and consolidating agent-based freight for orders, ongoing investment in technology and low leverage on our balance sheet puts us in a unique position to support further consolidation. We believe this represents our longer-term and almost perpetual opportunity, and we continue to invest in technology and our people with an eye towards building out a world-class scalable back-office infrastructure to support a much larger enterprise going forward. We are patiently persistent in the pursuit of this long-term vision, which we believe over time will deliver meaningful value for our shareholders, our operating partners and the end customers that we serve. Thanks for listening and your support of Radiant Logistics.
Operator: Thank you. This concludes today's conference call. We thank you for your participation. You may disconnect your lines at this time and have a great day.